Operator: Good morning, ladies and gentlemen, and thank you for standing by. Welcome to the MetroPCS Communications First Quarter 2008 Results Conference Call. During today's presentation, all parties will be in a listen-only mode. Following the presentation the conference will be open for questions. [Operator Instructions]. This conference is being recorded today, May 06, 2008. I would now like to turn the conference over to Mr. Keith Terreri, Vice President and Treasurer for MetroPCS. Please go ahead, sir.
Keith D. Terreri - Vice President, Finance and Treasurer: Thanks, Kimberly, and good morning everyone. I'm Keith Terreri and I would like to welcome you to our first quarter 2008 conference call. The speakers with me this morning are Roger Linquist, our Chairman, President and Chief Executive Officer; Tom Keys, our Chief Operating Officer; and Braxton Carter, our Executive Vice President and Chief Financial Officer. The format for today's call is as follows. First, Roger will provide an overview of our business, then Tom will provide an update on a number of operational results and initiatives, then Braxton will review the financial highlights of our first quarter followed by a question-and-answer session. During today's call, we will refer to certain non-GAAP financial measures. We've reconciled these historical non-GAAP measures to GAAP figures in our earnings release, which is available in the Investor Relations section of our website at www.metropcs.com under the Investor Relations tab. Before I turn the call over to Roger, I want to remind you that certain information that we will discuss in this conference call may constitute forward-looking statements within the meaning of the Federal Securities Laws. Words such as believes, anticipates, expects, intense, estimates, projects and other similar expressions typically identify forward-looking statements. Forward-looking statements involve risks and uncertainties that could cause actual results for the timing of the events to differ materially from those described in the forward-looking statements. We cannot assure you that the expectations discussed on this conference call will be attained. We also encourage you to review the risk factors described in our filings with the Securities and Exchange Commission. We would also like to remind you that the results for the first quarter may not be reflective of result our 2008, nor any subsequent period. For anyone listening to a taped or webcast replay, or reviewing a written transcript of today's call, please note that all information presented is current only as of May 06, 2008. It should be considered valid only as of May 6, 2008, regardless of the date reviewed or replayed. MetroPCS disclaims any intentional or obligation to revise any forward-looking statements whether as a result of new information, future events or otherwise, except as required by law. I hope by now you've had a chance to review our earnings release issued this morning with the financial results for the first quarter. I would encourage everyone to read our earnings release in conjunction with the information discussed in this call along with our previous SEC filings. We intend to file our 10-Q later this week or early next week. At this time, I would like to turn the call over to our Chairman, President and CEO. Roger Linquist.
Roger D. Linquist - Chairman, President and Chief Executive Officer: Good morning, everyone, and welcome to the MetroPCS first quarter 2008 earnings call. Thank you for joining us this morning. I would like to start this morning's call by discussing what we believe was a significant shift in the wireless industry this quarter. We believe the industry has passed an inflexion point during the first quarter as all the national wireless players introduced unlimited wireless service calling plans. As pioneers in the unlimited wireless space, we believe this industry trend towards unlimited service plans is a natural progression in the industry. This new focus on flat rate services created by MetroPCS is recasting the entire industry's approach to wireless services. Bear in mind the national carriers' unlimited plans are generally two to three times more expensive than our existing plans. Now for the first time, customers can make a truly educated decision with regards to our plans versus the national carriers. Given the value in our service offerings and our industry-leading low cost structure, we expect to compete very well in this new environment. Our first quarter results were very strong with 452,000 net additions, particularly considering the challenging macroeconomic environment. In the past six months, the momentum of our business has been strong, in that time we've added over 750,000 subscribers. Additionally at the end of the first quarter, we launched service in Las Vegas ahead of schedule and we are proud to say that this is the first commercially launched AWS market in the United States. We look forward to launching additional Auction 66 markets later this year and into 2009. We believe our strong subscriber growth is driven by customers continuing to realize the value within our service. Every one of our operating markets, including our core markets, continues to report positive net additions resulting in increased penetration and total subscribers. As we announced in April, we currently serve over 4.4 million subscribers, representing total subscriber growth of over 30% when compared to the first quarter of 2007. We firmly believe that our value proposition is compelling regardless of economic conditions. We also feel that in the midst of the U.S. economic slowdown, our simple unlimited service plans present the best value proposition as evidenced by this quarter's results. We believe that wireless service has become a necessity for many customers based on our predictable, affordable and flexible service. As the trend of wireline replacement continues, customers are consolidating their costs and their phone lines by using our phones as their only phone. Based on our past customer surveys, approximately 85% of our customers use our service as their primary telephone service and we believe these customers are less likely to discontinue service. With unlimited service offerings and no concerns with overcharges, MetroPCS is in a perfect position to replace landline phone service and we are confident in our ability to continue to capitalize on this major trend. With our current footprint of approximately 60 million covered POPs, we are a major market carrier and we will continue to focus on the largest markets in the country as we expand. After launching Las Vegas at the end of the first quarter, we plan to launch service in Philadelphia, Boston, and New York City later this year and into 2009. With dense populations, attractive demographics, we continue to believe the Northeast presents a tremendous opportunity to continue our strong profitable growth. We'll continue to innovate, expand our market segments through aggressive customer acquisition programs and by adding value to our unlimited wireless service plans. Since service launched in 2002, we are focused on providing an unlimited wireless service for both voice and data. And we are the leaders in offering reliable, affordable, unlimited wireless service. Now I'd like to turn over to Tom to discuss some of the operational highlights from the quarter.
Thomas C. Keys - Chief Operating Officer: Thanks, Roger. I'll first talk about some high level trends and then I'll discuss some of our operational initiatives in more detail. As Roger stated, our first quarter was very strong with total net additions of approximately 452,000. In our core markets, we continue to see growth in increasing penetration with approximately 30% of this quarter's net additions coming from our core markets. We see our growth coming from the ongoing trend of wireline displacement as subscribers increasingly use our phones as their primary communication device. As macroeconomic pressure continues to erode disposable income, we see consumers increasingly using their wireless devices as a primary means of communication. Additionally, we see our family plans as having the positive effect on growth, and we believe they also help to reduce churn. I will speak to our specific offerings shortly. In our core markets, we are also benefiting from solid brand recognition, product awareness and acceptance, as we've been operating in some of these markets for over six years now. Our expansion markets' growth continued this quarter generating over 314,000 net additions, and now totals over 1.6 million subscribers representing 78% subscriber growth year-over-year. In some of these markets where we have been in operation for the second full year, we are seeing compelling market penetration rates and impressive metrics. Los Angeles, launched in 2007 in September, continues to ramp and our marketing efforts are bearing fruit, as we see customers move from initial product awareness to consideration and purchase. The build-out of Las Angeles continues and we expect covered POPs to reach 15 million by the end of the third quarter 2008. Within the Los Angeles Metro area, we have recently launched service in Bakersfield, and we continue to build out into Riverside and San Bernardino counties. At the end of the first quarter, after only six months of operations, we have approximately 2.2% penetration of marketable POPs. Historically, there is significant seasonality in our business due to changes in customers' disposable income throughout the calendar year. Typically, the first quarter has been our strongest seasonal quarter in terms of net additions and we are pleased with this quarter's strong net additions of 452,000. Every market is growing and we believe increased customer penetration in our core and expansion markets, new market launches, as well as the predictability, affordability and flexibility of our service offerings will drive continued growth across all our markets. Our simple, easy to understand service plans give our customers predictability, but in an affordable manner with flexible terms. These service attributes are foundational and are now desired by wireless consumers. We expect the net additions for the second and third quarter will follow seasonal patterns and be down on a sequential basis. However, this year we believe the government's tax refund stimulus plan with the government beginning to send checks out last week will positively impact our second and possibly our third quarter. It is noteworthy that over the past year, our growth, both within core and expansion markets, has been outstanding. Year-over-year our subscriber base grew over 12% in core markets and 78% in expansion markets. With the inherent seasonality in our business, our churn and net additions are affected by seasonal patterns. Typically, our churn is lowest in the first quarter and highest in the second and third quarters, moving inversely to our rate of net additions. New market launches affect churn in that we have nearly zero churn during the first quarter after a market launch. Churn tends to spike during the second quarter following the market launch and continues to be elevated over the following two quarters. Churn moderates and typically reaches a mature level by month 12. With the recent launch of service in Los Angeles, churn in this market will elevate the overall churn number for the next several quarters before maturing to historical average by month 12. Recently, we have announced the launch of service in Las Vegas, Bakersfield, and Jacksonville. MetroPCS continues to build out new service areas to provide our customers, increased regional coverage and mobility. Las Vegas and Bakersfield are strong additions to our Los Angeles market and are part of our plan to West Coast expansion. Jacksonville augments our Florida coverage that now enables consumers to travel within a MetroPCS footprint down the East Coast of Florida from Jacksonville all the way to the Florida Keys with virtually contiguous coverage. Looking at our Auction 66 markets, as I am sure many of you saw, we launched service in Las Vegas during the first quarter of 2008 ahead of schedule. Las Vegas was the first commercially launched AWS market in the United States and we are excited to have this market in service. Coinciding with the launch, hopefully some of you who were at CTIA visited some of our stores and purchased a phone or tried our service. Looking at our other current market builds, in Philadelphia, we have both macro and DAS construction well under way. We completed our first internal call off of our new switch last week and we are making significant inroads with our branding and go to market strategy in Philadelphia. We remain optimistic about our launch in this market in the fourth quarter of this year. Excitement continues to build for our launches of service in Boston and New York City, which continue to be on track for our scheduled launches during the first quarter of 2009 and the first half of 2009 respectfully. DAS networks and macro sites are being constructed. Telco and infrastructure are well underway and internal metro teams are making great progress. We remain confident that our collective experience will enable us to have an extremely successful Northeast launch. While we operate in a competitive industry, our unlimited offerings, low cost structure, and our innovative services differentiate us from the competition. In the past 9 months, we have introduced a number of innovative offerings, including MapQuest on our handsets, unlimited premium 411 service, and we've recently introduced ChatLINK, an innovative push-to-talk service that permits up to 10 callers to participate simultaneously regardless of their carrier's network. A push-to-talk session initiated on a MetroPCS enabled handset can connect callers over any network, either wireless or wireline. We believe these innovative service offerings will be well received by our customers and help position us for continued success. As many of you have heard, we will be launching an extremely competitive and exciting promotional offer that we call our family unlimited plan. This new and creative plan will allow families to utilize our predictable, affordable, and flexible service, which we will include local, long distance, SMS and voicemail for up to five users for as little as $25 per user per month. We've leveraged our low cost structure to offer a plan that is priced significantly below our competitors' plans. MetroPCS continues to be a leader in service innovation as we provide products to benefit our customers. Increased value that allows families to stay connected without limits at very affordable rates is a natural extension of our fundamental go-to-market strategy. Once again I would like to say that we are very pleased with the first quarter 2008 results. And with that, I'll turn the call over to Braxton.
J. Braxton Carter - Executive Vice President and Chief Financing Officer: Thank you, Tom, and good morning everyone. We recorded strong financial and operational results for the first quarter of 2008. Today I will discuss the results for the first quarter, then I will walk everyone through our 2008 guidance, which we reaffirmed in this morning's press release. Total revenues for the first quarter were $662 million, up approximately 23% over the first quarter of '07. Consolidated adjusted EBITDA for the quarter was $178 million, approximately 19% higher than last year's first quarter. We generated approximately $107 million in cash from operating activities in the quarter, down slightly from the prior year's first quarter. We generated $40 million in net income during the first quarter or $0.11 per share. We are in an extremely strong financial position with approximately $1.3 billion of cash at March 31, 2008, and a net leverage of 2.28 times. We are fully funded for all of our planned market builds with a very substantial cash cushion. This will allow us to bring our Northeast markets online in 2008 and 2009 with no anticipated delay. It also gives us the latitude to capitalize on other opportunities such as our recent success in the 700 MHz auction and the Jacksonville asset purchase. From a financial metric perspective, we are pleased with the results for the first quarter. Our ARPU for the first quarter of 2008 was $42.22 compared to $42.54 in the fourth quarter of '07. The change in ARPU is primarily attributable to higher participation in our family plans, as well as reduced revenue from certain features now included in our service plans that were previously provided a la carte. Even with the slight decrease in ARPU, we have increased our adjusted EBITDA margin as a percentage of service revenues. We've focused on bottom line profitability versus exclusively growing the top line. Our CPGA for the quarter was $121 as compared to $109 in the first year's first quarter. The $12 increase was primarily driven by the company's continued growth in the expansion markets, including the launch of service in the Los Angeles metropolitan area. Our CPGA continues to be among the lowest in the industry. Our CPU for the quarter was $18.86, representing a 1.6% increase from last year's first quarter. The change in CPU was due primarily to expenses related to the construction of Philadelphia, Boston, New York, and the recent launch of the Las Vegas metropolitan area. Our CPU continues to be among the lowest in the industry and demonstrates a significant impact of the scaling of our business even when taking in to account the expenses related to retention and our ongoing ramp up of service in Los Angeles. The expansion markets impacted our consolidated first quarter CPU by $3.65, resulting in a world-class core market CPU of approximately $15 for the first quarter of 2008. I'd now like to discuss the income statement in more detail. Let's start with service revenues. On a consolidated basis, service revenues totaled $562 million, an increase of 28% over the first quarter of 2007. Growth in service revenue for the first quarter is primarily attributable to the net addition of over 1 million subscribers since the first quarter of 2007. In our core markets, service revenues increased $32 million or 10% to $369 million for the first quarter. This increase was primarily attributable to full year net additions of approximately 311,000 subscribers during the last 12 months. Our expansion market service revenues increased $90 million or 88% to $193 million for the first quarter versus $103 million for first quarter 2007. This increase is primarily attributable to net additions of 708,000 subscribers during the last 12 months. Now, let's talk about expenses. Our consolidated cost of service increased $43 million or 30% to $188 million for the first quarter. The increase in cost of service was principally related to the increase in total subscribers in the launch of service in the Los Angeles metropolitan area in September 2007. Core markets' cost of service increased approximately $7 million or 7% to $107 million for the first quarter from $100 million a year ago. The increase was driven by the operating cost to support net additions of 311,000 subscribers over the last 12 months, and operating cost to support the additional network infrastructure added during the year. The expansion markets' cost of service increased $36 million to $81 million for the first quarter of 2008 from $45 million a year ago. The increase is primarily attributable to the addition of 708,000 new subscribers during the last 12 months, as well as the additional network infrastructure added during the year. Consolidated selling, general, and administrative expenses increased over the past 12 months by $31 million or 43% to $104 million for the first quarter. The increase is largely related to supporting the company's continued growth in the expansion markets, including our build-out of the Northeast markets, slightly offset by a decrease in core markets' selling, general, and administrate expanses, as a result of increased scaling of our business. Moving on to adjusted EBITDA. Consolidated adjusted EBITDA for the quarter was $178 million with a consolidated adjusted EBITDA margin of approximately 32%. I am pleased to report that our core market fully loaded adjusted EBITDA as a percentage of service revenue was over 46% for the first quarter. During the quarter, we incurred capital expenditures of approximately $184 million. This was a consolidated number, included not only CapEx to support the growth in our core and expansion markets, but also CapEx related to our recent launch of service in Las Vegas, the continued expansion of Los Angeles, and the build out of our Auction 66 markets. With respect to liquidity and capital resources, we finished the first quarter with approximately $1.3 billion in cash and cash equivalents. Our total leverage computed in accordance with our 9.25% senior notes on an LTM basis at the end of March was less than 4 times. Our weighted average cost to debt for the quarter was approximately 8% and approximately 97% of our debt is fixed by its nature or through interest rate hedges for the next two years. MetroPCS today reaffirms previous guidance and as such expects full year 2008 net subscriber additions to be in the range of 1.25 million to 1.52 million on a consolidated basis, with 250,000 to 320,000 in the core markets and 1 million to 1.2 million in the expansion markets, which does include 75,000 to 125,000 in the Auction 66 markets. The company currently expects consolidated adjusted EBITDA in the range of $750 million to $850 million for the year ended December 31st 2008, which is inclusive of an adjusted EBITDA burn in the range of $125 million to $175 million in the Auction 66 markets. Without the adjusted EBITDA burn on the Auction 66 markets, we would be approaching the $1 billion adjusted EBITDA range for 2008. MetroPCS currently expects to incur in the range of $1.1 billion to $1.3 billion in capital expenditures for the year ended December 31st 2008 in its core and expansion markets, which includes $600 million to $700 million in its Auction 66 markets. In addition, we will spend $313 million for the purchase of Spectrum in the Auction 73 for the year-ended December 31st, 2008. This is the end of our prepared remarks. I would now like to turn the call back over to the operator for Q&A. Operator? Question And Answer
Operator: [Operator Instructions]. Your first question comes from the line of Simon Flannery of Morgan Stanley.
Simon Flannery - Morgan Stanley: Okay, thank you very much. Good morning. You talked about some excellent penetration stats in some of the launched markets that are a couple of years old now. I think in the past you've talked about a potential penetration in the sort of 15% range. I just wanted to get some thoughts on where we are now given the success you have been having and getting more experience with some of these new markets, is that still sort of a good aspirational target for your company overall? And if you have any updates on Las Vegas, what we have seen so far that would be very helpful. Thank you.
J. Braxton Carter - Executive Vice President and Chief Financing Officer: Good morning Simon. Definitely appreciate the question. I think that we have talked in the past about overall potential penetration rates of 15% plus in our markets. It is very important to note that every one of our markets continues to grow and given the relative maturity of our core markets as opposed to type of growth we are seeing supports that type of penetration potential. Our expansion markets have continued to perform very well, and we believe the potential is in the 15% range for those markets. We've been very happy with the Las Vegas launch, getting into market at the end of the first quarter, well ahead of our published targets, I think was a real testament to the hard work of our people in the market. Also it was the first commercially launched AWS market in the country, working through all issues from a network equipment standpoint, from a handset standpoint, from a clearing standpoint, was a significant accomplishment.
Simon Flannery - Morgan Stanley: Okay. And in terms of the sort of customer acceptance, is that similar to LA, better than LA?
Thomas C. Keys - Chief Operating Officer: Yes, Simon, this is Tom. Yes, so far we're very pleased with our customer acceptance. As Braxton mentioned, the network is operating very well and to date we've seen things just like out LA roll out, we are very pleased with it.
Simon Flannery - Morgan Stanley: Okay. Thank you very much.
Operator: Your next question comes from the line of Scott Malat of Goldman Sachs.
Scott Malat - Goldman Sachs: Thanks. Yes, first on subscribers, I think you've noted a couple of times that the core markets continue to show increasing penetrations. So that's probably not what everyone would have thought. You talked about a few of the initiatives that are driving these results in you comments. Can you talk a little bit about the impact the family plans have had so far, obviously with the extended rollout of family plans? And then may be give some detail on the features and the service plans that were previously provided a la carte. And then just basically, the obvious question I just wanted to follow-up with, it's the first conference call post the lifting the Spectrum auction and any collusion rules. Just wondering if you could provide us any kind of update and your thoughts on possible discussion will lead, anything from timeframes to changes of how you approach the synergies or anything like that? Thanks.
J. Braxton Carter - Executive Vice President and Chief Financing Officer: Okay, great. Talking about family plans, I think it's very important to note that the family plans bring another dimensions to our offerings. The national carriers put on anywhere from 40% to 60% of their net additions on in family plans. That is not the case with MetroPCS. With MetroPCS our overall penetration of family plans is less than 20% of our consolidated mix. And the reason why is we've had to be very innovative in the design and development of this plan. Given our targeted demographics and given our approach to the marketplace, the last thing that we would want to do is encourage non-family members to band together to take advantage of family plan pricing, because one of the main benefits of family plan is more stickiness with the customers and the reduced churn level. The way we do this is with an inherent design feature, in that every line in the family plan needs to be paid at once. And if not, all the lines disconnect. So that virtue works very well with a family unit, it does not work well with a band of associates or friends getting together to take care of the pricing. We're very excited about the promotion that launched on the 1st of May on our unlimited family plan that Tom talked about. Early results are very encouraging and again, we see a very positive impact by continuing to promote that feature looking at better overall retention in the marketplace. At this point, I would like to turn it over to Roger to address your last question.
Roger D. Linquist - Chairman, President and Chief Executive Officer: Right. As you know, we withdrew our public merger proposal in November of last year and announced that our focus will be on realizing our significant growth opportunities. Since then, we've done just that. And we believe our results over the past three quarters and as well as our future growth opportunities continue to differentiate us from the other wireless carriers. The last point that you did ask is the a la carte features. Let me just add that we continue to combine as we see the opportunity, shall we say push these a la carte features into our rate plans, because over time we've now been able to provide for data services that at one point were a la carte and now they are combined in typically the $40 to $50 plan. So we have seen that as an opportunity. We'll do that as soon as the economics justify that move.
J. Braxton Carter - Executive Vice President and Chief Financing Officer: Scott, you have published before your thoughts on the productivity loop, or the continued reinvestment and the competitive viability of our rate plans. That is a vision that Roger has brought to the table since the early days of this company and we will continue to invest in the offerings, while maintaining a very strong EBITDA margin to further differentiate us from the competition as time goes on.
Scott Malat - Goldman Sachs: Okay thanks, that's really helpful. Just one really quick question, just on the math, to make sure I get it right. You mentioned 2.2% penetration in Los Angeles, that's for all marketable areas in LA; that's including those that you've launched just recently. I just wanted to make sure that's clear, that's not the penetration in the market you launched back in September?
J. Braxton Carter - Executive Vice President and Chief Financing Officer: That's correct, that's absolutely correct.
Scott Malat - Goldman Sachs: Okay, thanks.
J. Braxton Carter - Executive Vice President and Chief Financing Officer: Sure.
Operator: Your next question comes from the line of David Barden of Banc of America Securities.
David Barden - Banc of America Securities: Hey guys, good morning. Thanks a lot.
J. Braxton Carter - Executive Vice President and Chief Financing Officer: Good morning, David.
David Barden - Banc of America Securities: Good morning, Braxton and Roger. If I could just ask two questions. Number one, obviously heading into 2Q, there's historically been a big kind of change in the pace of the business in the second quarter and you've had this kind of problem before where expectations and the realities of the business model get misaligned and you talked about the impact of the potential, the tax rebates and influence in the trend. So I think if you could be as clear as you could possibly be now about what you think the net effect of these moving forces, seasonalities, plus new market launches, plus older market launches, plus tax refunds, is going to be on the business both in ARPUs and in churn and subs, I think it would be very productive for everyone to kind of get on the same page on that. And then the second question may be more for Tom. A little bit just as you have gone through now the first AWS market rollout from kind of soup to nuts, could you kind of give us any insight as to whether you found it smoother, harder, easier, the same, to get these markets turned up, turned up on time, turned up in budget, and all the pieces are ready to go when you want to launch? Thanks a lot.
J. Braxton Carter - Executive Vice President and Chief Financing Officer: Great question David. And I think that the right way to look at all the factors that are moving around in relation to the second quarter is that there are puts and takes. We all know that the macroeconomic environment continues to be extremely difficult. Gas prices are increasing; there is more pain that people are seeing in the markets. Offsetting that is the strong tax stimulus rebate plan that the government started last week. In addition, the family plan promotion that Tom talked about, we think will be accretive to the quarter. So when we sit back and we look at all the factors combined, we where in a position to today reaffirm our guidance, which means our overall views on the year and specifically on the individual quarters has not changed. I do want to reemphasize that seasonality is very, very strong in this business. And there is a very steep drop off of net additions in the second and third quarter, followed by a nice increase in the fourth quarter and our golden quarter of the year, the first quarter, which was just finished. But even with that, we put on well over a million subscribers for the last two years and our guidance calls for another even larger increase this year. Tom made a very important point in his script and that was on churn. And churn is almost inverse to the net add performance. In periods of lower net adds, you do see a higher churn rate, particularly when you have the dynamics of new market launches. There is essentially no churn in this model for the first three months. Then you are seeing a peak churn in the second quarter and it's not until really five quarters out of the completion of four full quarters that you see a churn profile that mimics that of a more matured market. And when you are looking at launching a market the size of Los Angeles, the expectation is that there should be increased churn from an expansion market standpoint. We were very pleased with our churn for the first quarter of this year. Being flat year-over-year with some of these dynamics that we're talking about and given the macroeconomic environment, I think speaks very strong about our viability in this type of marketplace. But that's really how we are looking at some of these key metrics. At this point David, I will turn it over to Tom to address your question on the AWS market roll out.
Thomas C. Keys - Chief Operating Officer: Yes, hi David. I think I'd use the characterization of smooth that you put out there that if you use our experience in building new markets, if we look at our network design that did include macro as well as DAS sites inside of Las Vegas. The two additional elements that we worked with were, number one, clearing; and then, number two, vendor and OEM equipment. On the clearing side, we're extremely focused. We set up our own separate teams and continue to do that with our spectrum and we make sure that we had our timing down and that did work for us in Vegas very well. The second factor were obviously equipment and OEM relationships. And with launching on the 28th of March, we were able to have the equipment ready, our network was ready. So I think we really focused on that early on and we made sure that we could come into Vegas on time, because it was really important to us to be the first commercially launched AWS market in the United States.
David Barden - Banc of America Securities: Great, I appreciate it guys. Thanks very much.
Operator: Your next question comes from the line of Rick Prentiss of Raymond James.
Richard Prentiss - Raymond James: Good morning guys.
J. Braxton Carter - Executive Vice President and Chief Financing Officer: Good morning, Rick.
Richard Prentiss - Raymond James: Couple of questions for you I would like to follow on. With the family plans, Braxton, you just mentioned to David's question that you expect family plans to be accretive in the second quarter. Is that on the revenue side, is that along with churn helping on the EBITDA side or what exactly does that mean? And as we think of family plans, interesting thought about that however, you have to pay all at once, but how do we think of that as far as affecting kind of the gross add share, does it stay in the 20s or it is get up even higher? That's the first question for you guys.
J. Braxton Carter - Executive Vice President and Chief Financing Officer: Yes, really good question. It's accretive from a growth add standpoint and net add standpoint, but I think very importantly, from a churn standpoint, and the churn benefit you will see over the course of the year as you put on increased family plan units. But specifically for the second quarter, this is a very, very strong promotion and we think that it will be accretive from a growth standpoint in the second quarter. But again, I just want to emphasize, offsetting that is the overall macroeconomic conditions. So please keep that in mind.
Richard Prentiss - Raymond James: It makes sense. From an ARPU standpoint, obviously a lower price point at the $25 level. How do we think about the effect that it might have on ARPU against the base or what kind of share of gross adds we should be thinking coming along this line?
J. Braxton Carter - Executive Vice President and Chief Financing Officer: Because of the inherent limitations that I talked about earlier, where every line has to be paid, or they all hot line, we are not going to see the types of take rates that the national has, even on the very lower end. So we don't really see a significant increase in the overall mix portion of what we have historically experienced and remember I told you that this was less than the 20% of what we did.
Richard Prentiss - Raymond James: Right.
J. Braxton Carter - Executive Vice President and Chief Financing Officer: And I think that is important to keep in mind. So yes, there is a small impact on ARPU, but please remember that we're posting EBITDA margins that are truly world-class. So the overall profitability, as we continue to sustain this business, even with a slight ARPU decrease, is still accretive to overall adjusted EBITDA.
Richard Prentiss - Raymond James: Okay. That actually leads nicely to my next question, which is on the burn rate and the margins that you've been seeing in the core markets and the expansion markets, can you break out for us in second quarter or excuse me, first quarter actual, how much Auction 66 burn there was? I think for the annual guidance, you're saying $125 million to $175 million worth of burn, but how much did we see in the first quarter?
J. Braxton Carter - Executive Vice President and Chief Financing Officer: Rick, I appreciate the question, but the only thing we're commenting on at this point is the overall annual burn rate.
Richard Prentiss - Raymond James: Okay. Do you anticipate at some point letting us know how you did versus that guidance?
J. Braxton Carter - Executive Vice President and Chief Financing Officer: I will have to take a look at that issue.
Richard Prentiss - Raymond James: Okay. And then my final question would be on LA POPs going back to the earlier point, 2.2% penetration on LA POPs. Where are your LA POPs right now? I think you started probably around 11, you are heading to 15 by the end of the third quarter, but where were we at the end of the first quarter?
J. Braxton Carter - Executive Vice President and Chief Financing Officer: Let's be clear. Tom said that was the penetration of marketable POPs.
Richard Prentiss - Raymond James: Okay.
J. Braxton Carter - Executive Vice President and Chief Financing Officer: And we've talked about before that increase in that market to its overall footprint that we have in mind of 15 million covered POPs. Until we get there, your marketable POPs are a subset of your overall covered POPs. And that's really important because you don't want to market too heavily on the fringes of your covered POPs, because you don't want to bring customers in that this service footprint doesn't work for. So you definitely bring in your marketable POPs.
Richard Prentiss - Raymond James: If we were to look at the first quarter as far as covered POPs in LA and marketable POPs in LA, you know roughly where that would be, can you share that with us?
J. Braxton Carter - Executive Vice President and Chief Financing Officer: Rick, that's just not a number that we're disclosing. We don't really get into individual market-specific disclosures. What we're trying to do is provide color and feel for how well the Los Angeles market is doing without disclosing a specific point estimate on the net adds number.
Roger D. Linquist - Chairman, President and Chief Executive Officer: Rick, it's kind of a work in process. So, I think that those numbers will be disclosed once we get to a build out point. I mean, that, I think is probably the best way to tackle it.
Richard Prentiss - Raymond James: Okay. And so, just maybe from a broad standpoint, maybe percentage-wise marketable POPs versus covered POPs, I wouldn't think there would be a drop to like 60%, 70% of covered POPs being marketable, it would be some higher number, wouldn't it? Just to kind of frame it for us as far as …
J. Braxton Carter - Executive Vice President and Chief Financing Officer: Absolutely.
Richard Prentiss - Raymond James: Okay, thanks guys, good luck.
J. Braxton Carter - Executive Vice President and Chief Financing Officer: You're welcome.
Operator: Your next question comes from the line of Tad Rethemeier of Soleil Securities.
Todd Rethemeier - Soleil - Sur Terre Research: Good morning, guys.
J. Braxton Carter - Executive Vice President and Chief Financing Officer: Good morning, Todd.
Todd Rethemeier - Soleil - Sur Terre Research: Two questions for you, if I could. First, have you seen any change in the competitive dynamics just recently? I know on their call last night Virgin Mobile talked about its new price plans and success it was having there. And then the second question, any color on the success of the Wal-Mart channel? Thanks.
Thomas C. Keys - Chief Operating Officer: On the competitive dynamics, as Roger mentioned, all the nationals have come out with their unlimited plans. What we've tried to do with that is actually utilize that and leverage that. Hence the introduction of our family plan nationwide. In terms of Wal-Mart, it is a strong partner for us. We believe that there is a lot of growth going forward and as we roll it out nationwide, we think we'll see increased penetration as we actually expand the market through that national retail partner.
Roger D. Linquist - Chairman, President and Chief Executive Officer: Yes, Virgin Mobile is specifically.,Todd, that you asked, we really haven't seen that as being a major factor in our market. So maybe that change is too new or certainly we have not seen or felt any impact from it.
Todd Rethemeier - Soleil - Sur Terre Research: Okay, thanks.
Operator: Your next question comes from the line of Brett Feldman of Lehman Brothers.
Brett Feldman - Lehman Brothers: Yes, thanks for taking my question. You guys eluded early in the prepared comments about the introduction of unlimited plans at all the major national carriers and it does create a very interesting comparison with your service. I mean if you look at what an AT&T and Verizon is offering, it's basic unlimited voice for about 100 bucks a month for an individual, whereas with your promotional family plan, it can get as low as $25. And the key difference is really just coverage. So it is starting to highlight a very significant value opportunity by having more coverage. And I guess, my question is, are you at all surprised by how accretive ARPU can be if you can offer a service nationwide, and has this changed your view as to whether or not you should be taking steps towards having a broad nationwide footprint?
Roger D. Linquist - Chairman, President and Chief Executive Officer: Well, I think certainly it's an interesting question, and I think the answer is there is that segment, but there is also a segment that we serve. What you do see though particularly in times like we are experiencing now. If I can save $300 a month with four lines, I'm highly motivated do it unless I truly have all family members in the very, shall we say, important traveling mode where they really do need nationwide coverage. Our point with the family plan is that we think there is a very high propensity of families that, particularly the family members do not require, specifically do not require that the national roaming plan even though the head of household and even perhaps the spouse might. So the thought is basically that this is an area where coverage, particularly national coverage, would probably have the least impact on us.
Brett Feldman - Lehman Brothers: I guess I am sort of alluding to your prior offer for Leap, because if you look at it now, what do you have is you have $100 a month per outstanding nationwide unlimited service and $40 to $45 a month per outstanding unlimited service in a fixed geography or anywhere within your pockets of service. Are you thinking that may be there's a bigger market somewhere in between and that that might change your calculus as to what you would get out of being a bigger company?
Roger D. Linquist - Chairman, President and Chief Executive Officer: Well, I think that he answer to the question is specific, that the more market segments that you can serve the more attractive it is. However I keep going back to the point that I asked you, how many families, particularly families that we're taking about, children and families need national coverage. We think this is a very strong plan under its own principles and bear in mind, in places like California and Florida now, there's a very large area that people can take advantage of. But once again, the family plan gave us the unique opportunity to pinpoint family members and even spouses that don't tend to have the same geographical, shall we say, coverage needs that a head household would.
Brett Feldman - Lehman Brothers: Okay. It's fair enough. I'll ask one other unrelated question. As you're looking at your build out in the Northeast and you comp it against your experience in LA, if you ignore the potential clearing issues, are you generally finding that it's easier or harder to get your network build at the pace you would like in the Northeast? I know LA ended up having a little bit of a delay versus your initial expectations, are you seeing the same thing in, say New York for example?
Roger D. Linquist - Chairman, President and Chief Executive Officer: All these markets, let's say, the mega markets New York and LA have their own challenges. But I would say that the use of our distributed antenna systems has put us we think, right on track for scheduled launches. We feel very confident that the dates that we've given you all will be met.
Brett Feldman - Lehman Brothers: Thank you for taking the questions.
Operator: Your next question comes from the line of Phil Cusick of Bear Stearns.
Phil Cusick - Bear Stearns: Following up on the family plan just quickly, what's the level of churn reduction? Can you help us quantify that versus the typical customer?
J. Braxton Carter - Executive Vice President and Chief Financing Officer: Yes it's favorable, Phil. I mean I would put it somewhere in the range of maybe up to half of the normal churn profile.
Phil Cusick - Bear Stearns: Okay. And then in the past you have given us updates on some of the toughest markets in the country. Can you give us an update on places like Detroit, how are those going and is there any change versus the margin versus the mean that they are seeing as gas prices come up and things like that? Thanks.
Thomas C. Keys - Chief Operating Officer: Yes, Phil, this is Tom. I think our comment on Detroit would be similar to the last quarter's call. Detroit has a very high level of landline displacement/replacement, and our market up there performs very, very well, even with some of the worst economic conditions. So I think our answer to that would be similar to the previous quarter. It performs to our expectations and is doing very well.
Phil Cusick - Bear Stearns: Are you guys seeing any shifts in the number of customers who are bringing numbers over from landlines in terms of the percentage gross adds or anything like that?
Thomas C. Keys - Chief Operating Officer: Porting takes place on somewhat of a seasonal basis as well. There is generally higher ports that will take place in the first quarter, then quarters two and three. So we are not seeing anything that is seasonally out of line with past years. We will continue to see movement from carrier to carrier depending upon what market it is, but nothing is out of line compared to a year-over-year, quarter-over-quarter seasonality.
J. Braxton Carter - Executive Vice President and Chief Financing Officer: Phil, remember that ports are very small subset of what happens here and there could be an acceleration in wireline replacement that the numbers aren’t coming over and we are just adding incremental lines because of that. And to your point on Detroit, Detroit has a much higher percentage of wireline replacements than the rest of the country. And we think that's because of the depressed economic conditions that have been out there since we launched the market back in '06. And we believe that such economic times can result in acceleration of that trend. I think you are hearing that from some of the wireline providers.
Phil Cusick - Bear Stearns: Okay. Thanks, guys.
Operator: Your final question comes from the line Romeo Reyes of Jefferies & Company.
Romeo Reyes - Jefferies & Company: On family plan, just a clarification please if you wouldn't mind, did you say that it's less than 20% of gross adds or of the net adds? I don't know if you clarified that? And secondly --
J. Braxton Carter - Executive Vice President and Chief Financing Officer: It's less than 20% of our gross adds.
Romeo Reyes - Jefferies & Company: Of your gross adds, okay good. Are there any incentives that you are putting in place with plans with ABP or, given the add on lines may be, like cheaper less expensive handsets? What's the catch here? Because the ARPU is a little bit less and the churn is a little bit less, that's great, but is there also a benefit on the CPGA side?
Roger D. Linquist - Chairman, President and Chief Executive Officer: CPGA. No, not that we can see. I mean, our standard offering for purchase of handsets stands, we've not taken any steps to either further subsidize those handsets. So it's ordinary course of business on that customer transaction as they buy their handsets.
Romeo Reyes - Jefferies & Company: Okay. And just one last question, did you disclose the CapEx for the Auction 66 for quarter?
J. Braxton Carter - Executive Vice President and Chief Financing Officer: No, we just disclosed consolidated CapEx.
Romeo Reyes - Jefferies & Company: Okay, great, thanks.
J. Braxton Carter - Executive Vice President and Chief Financing Officer: Thanks, Romeo.
Operator: Thank you. I would now like to turn the call back over to Roger Linquist.
Roger D. Linquist - Chairman, President and Chief Executive Officer: Thank you all. Thank you again for participating in today's call. We certainly appreciate your interest and support of MetroPCS, and look forward to our call next quarter and our continued progress. Thank you all.
Operator: Ladies and gentlemen, this concludes the MetroPCS Communications 2008 first quarter results conference call. Thank you for your participation. You may now disconnect and have a pleasant day.